Executives: Kerri Thurston - Director of Investor Relations Clifton A. Pemble - Chief Executive Officer, President, Director, President of Garmin International Inc, President of Garmin USA Inc and President of Garmin AT Inc Kevin S. Rauckman - Chief Financial Officer, Principal Accounting Officer, Treasurer, Treasurer of Garmin International Inc, Treasurer of Garmin Usa Inc, Director of Garmin International Inc and Director of Garmin Usa Inc
Analysts: Yair Reiner - Oppenheimer & Co. Inc., Research Division Jonathan Ho - William Blair & Company L.L.C., Research Division Simona Jankowski - Goldman Sachs Group Inc., Research Division Charles L. Anderson - Dougherty & Company LLC, Research Division Mark Sue - RBC Capital Markets, LLC, Research Division Tavis C. McCourt - Raymond James & Associates, Inc., Research Division John F. Bright - Avondale Partners, LLC, Research Division Paul Coster - JP Morgan Chase & Co, Research Division Andrew Spinola - Wells Fargo Securities, LLC, Research Division Kristine T. Liwag - BofA Merrill Lynch, Research Division
Operator: Good day, everyone, and welcome to the Garmin Ltd. Third Quarter 2013 Earnings Conference Call. Today's call is being recorded. And at this time, I would like to turn the call over to Kerri Thurston. Please go ahead, ma'am.
Kerri Thurston: Thank you. Good morning, everyone. We'd like to welcome you to Garmin Ltd.'s third quarter 2013 earnings call. Please note that the earnings press release and the related slides are available at Garmin's Investor Relations site on the Internet. An archive of the webcast and a related transcript will also be available shortly after the call. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, earnings, market share, product introductions or future demand for our products are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning specific risk factors is contained in our Form 10-K for the year ended December 30, 2012, which is on file with the SEC. Presenting on behalf of Garmin this morning are Cliff Pemble, President and CEO; and Kevin Rauckman, CFO and Treasurer. At this time, I'll turn the call over to Cliff.
Clifton A. Pemble: Thank you, Kerri, and good morning, everyone. As announced earlier this morning, Garmin reported strong third quarter revenue and margin performance, with revenue growth in Fitness, Marine and Aviation largely offsetting declining revenues in PND. Consolidated revenues decreased 4% year-over-year. However, our non-Auto/Mobile market segments grew 12% on a combined basis, contributing 50% of the total revenue and 65% of the operating profit in the third quarter. Gross margins improved year-over-year to 55% from 53% in 2012, as deferred revenue was less of a headwind and segment mix improved slightly. Operating margins were 24%, consistent with the prior year, as gross margin improvement was offset by growing research and development spending. These strong results allowed us to generate $205 million of free cash flow in the quarter and raised our EPS guidance for the full year. Kevin will discuss our financial results in greater detail in a few minutes, but next, I'll walk through a review of our results, segment by segment. Starting first with Outdoor, revenues declined 4% as we faced a much stronger comparable in the third quarter of 2012. Gross and operating margins remained very strong in this segment at 69% and 44%, respectively. During the quarter, we announced our entry into the action camera market with the VIRB and VIRB Elite. This new family of products delivers industry-leading features to the action camera market, including sunlight readable color displays, GPS location awareness, extended battery life, integration with our broad range of fitness sensors and ability to control the camera via other Garmin devices. We believe VIRB will be a catalyst for growth within this segment in 2014, and look forward to participating in this exciting new market. In the fourth quarter, we do not expect a significant change in revenue trajectory due to the late season launch of VIRB and due to the strong results in fourth quarter of 2012, when the segment delivered almost $120 million of revenue. Turning next to the Fitness segment. Revenue grew 25% on a year-over-year basis, as our entire portfolio of products sold well in the summer season. Deliveries of Vector accelerated our cycling category, and contributed to the strong result in the segment. We delivered gross and operating margins of 61% and 33%, respectively, and operating income grew 25% in the quarter. We introduced a number of new products in the quarter, including the Forerunner 220 and 620. These watches delivered new features, and have captivated significant customer interest, including a high-resolution sunlight readable color display and real-time tracking through wireless connectivity with a smartphone. In addition, the Forerunner 620 offers an intuitive touch screen user interface and innovative running dynamics measurements to give runners powerful new tools to improve their performance. The form factor of the 220 and 620 establishes a new standard for running watches as they are lighter, thinner and more comfortable to wear for both running and everyday use. In the cycling market, we launched the Edge Touring, designed for casual and commuter cyclists, which is our first product line specifically targeting this growing subset of the cycling community. Looking at 2014, we anticipate entering new adjacent markets, and we will continue to make investments that position us for long-term growth opportunities. In Aviation, we experienced another quarter of strong revenue growth of 15% with both OEM and aftermarket product categories contributing to the improvement. Operating income grew 37% in the quarter, ahead of revenue growth, due to the improvement in both gross and operating margins. I'm very pleased to note Garmin received the AIN Avionics Support Award for the 10th consecutive year during the quarter. I congratulate our Aviation team on this amazing accomplishment, and thank them for their passion and dedication to being the best. Outstanding customer support, combined with superior products, are key differentiators as we compete for new opportunities. We have made significant progress in finalizing deliverables required for avionics certification on the Learjet and Cessna platforms. We are actively supporting our OEM partners as they work to complete their respective aircraft certifications. Our near-term results have been positive. The Aviation market remains challenging, and this has been further intensified by shutdown-related furloughs at the FAA causing short-term delays in certifications, field approvals and shipments. While this may create headwinds in the fourth quarter, we continue to believe in our long-term growth story in this segment. Revenue in the Marine segment grew 24% in the quarter, as we experienced stronger-than-expected demand across our range of new and existing products. While the segment was profitable in the third quarter, the margin structure remains challenged due to product mix and the competitive pricing environment of the market. As we approach the winter months, we are already anticipating the beginning of the 2014 marine season. We have a full line up of new products that will be announced in the coming weeks and delivered in time for the upcoming boating season. We are confident that an intensive focus on superior new products and innovation will lead to improved market share and profitability in this segment. In our Auto/Mobile segment, revenues were down 16% in the quarter, with PND unit volumes declining at a global rate of approximately 20%, which is in line with our expectations. This decline was partially offset by growth in our OEM and mobile categories, as well as the amortization of previously deferred revenues. The segment remains highly profitable with gross and operating margins of 46% and 17%, respectively. As we previously mentioned, we expect the PND market to decline approximately 20% on a global basis. While the PND market development has been and continues to be a significant headwind, we feel confident with our execution in 2013, and we will continue to carefully manage the business going forward. As a final note in the Auto/Mobile segment, OEM opportunities have been slow to develop, which is the nature of the Automotive business. We remain optimistic as Garmin navigation begins to play a significant role in the 2014 Mercedes-Benz lineup, and we continue to pursue new opportunities for software and hardware solutions. Finally, as stated in our press release, we are updating our guidance for 2013. Due to our strong performance in the third quarter, we now anticipate pro forma EPS of $2.40 to $2.45, with improved gross and operating margins, slightly offset by higher a anticipated tax rate. The PND market will continue to create headwinds for our top and bottom line. However, these headwinds will be partially offset by growth across our non-Auto/Mobile market segments. This concludes my remarks, and Kevin will now walk through our Q3 financials in more detail. Kevin?
Kevin S. Rauckman: Thank you, Cliff, and good morning, everyone. I'd like to begin by reviewing our income statement and segment results, then move to summary comments on the balance sheet, cash flow, taxes and guidance. We posted revenue of $644 million for the quarter with pro forma net income of $136 million. Our pro forma EPS was $0.69 per share, excluding foreign currency loss and a $52 million tax adjustment that I will discuss later. Our revenue represents a decrease of 4% year-over-year. Gross margin came in at 55%, a 140 basis point increase from the prior year, driven by segment mix and reduced impact from deferred revenues. Our operating margin was 24%, down only 20 basis points from the prior year. The components were gross margin favorable by 140 basis points and an unfavorable operating expense impact of 160 basis points. Total operating expenses increased by $2 million in the current quarter, with reduced spending in advertising, offset by a $6 million increase in R&D. Each of the expense -- operating expense categories will be discussed in detail on a later slide. Our pro forma EPS, which is adjusted for the foreign currency loss and the tax adjustment was $0.69, represents a 7% decrease year-over-year. We shipped 3.3 million units during the quarter, which represents a 12% decrease year-over-year, and our total company average selling price was $197 per unit, up from $182 in Q3 of 2012, driven primarily by segment mix and the amortization of previously deferred revenue. Cliff has summarized revenue changes by segment. However, I'd like to briefly highlight the charge on this page, which illustrates the Auto/Mobile segment, representing 49% of our total revenue during Q3 as Fitness, Marine and Aviation grew during the quarter. Looking at profitability by segment, our non-Auto/Mobile segments delivered 65% of operating income in the quarter, an increase from 59% in Q3 of 2012. Fitness and Aviation each contributed an increasing proportion of total operating profit in Q3 due to revenue growth. I'd like to briefly discuss year-over-year gross margin changes by segment. Total corporate gross margin increased by 140 basis points in the quarter, driven by improved margins in Auto/Mobile and in Aviation. The Auto/Mobile gross margin increased to 46% from 43% of the prior year, due primarily to amortization of previously deferred high-margin revenues. Marine and Fitness gross margins declined in the current quarter due to product mix and pricing dynamics during the quarter, and our total corporate operating margin was steady at 24%, with the increased gross margin offset by increased R&D spending of $6 million. Looking briefly at year-to-date metrics, revenue contribution for 2013 is shifting toward our growth segments with Aviation, Fitness and Marine each growing in contribution, and a similar shift is occurring at operating income as well with 67% of our year-to-date operating income coming from our non-Auto/Mobile segments. As previously mentioned, Q3 operating expenses increased by $2 million on a year-over-year basis from $199 million in Q3 of 2012 to $201 million in Q3 of 2013, while increasing 170 basis points as a percent of sales. R&D was the only expense category that increased with a $6 million year-over-year impact, and this represented a 150 basis point impact, as R&D increased to 14% of sales. We continue to invest in innovation and grow our engineering workforce with a heavy emphasis on Aviation. Our advertising spend decreased $4 million over the year ago quarter and decreased 40 basis points as a percent of sales to 4% in Q3 of 2013. Much of the decrease was related to declining volumes in PND, as well as reduced promotional activity in Fitness. We will continue to scale our advertising expense to match our revenue trends. SG&A was flat compared to the year ago quarter, increasing 60 basis points as a percent of sales to 13%. We are working diligently to manage these costs as our PND market declines. We ended the quarter with cash and marketable securities of nearly $2.8 billion. Accounts receivable decreased sequentially to $476 million due to declining sales in the quarter. Accounts receivable accounted for 66 days of sales compared to 66 days of sales in the second quarter and 65 days of sale in the third quarter 2012. Our inventory balance increased to $417 million on a sequential basis at the close of the third quarter in preparation for the stronger holiday quarter. Our days of inventory were 124 days compared to 116 days in the second quarter of 2013 and 125 days in the third quarter of 2012. We continue to generate strong free cash flow across our business as cash from operations was $217 million during Q3. CapEx spending was $12 million during the third quarter. Therefore, we generated free cash flow of $205 million during Q3. Our year-to-date free cash flow is on plan at $439 million. We didn't pay a dividend in the third quarter due to the timing of our fiscal versus calendar quarter. We will pay 4 quarterly installments in the 2013 fiscal year, with 3 paid in the first half and a fourth dividend payment in the fourth quarter, and we repurchased 14 million of company stock and have 273 million still authorized through December of 2014. I have a few more items to discuss relative to our Q3 announcement. Our pro forma effective tax rate for Q3 of 2013 was 15.7% compared to 13.7% in Q3 of 2012. The increased rate was primarily driven by an unfavorable change in income mix by taxing jurisdiction and reduced tax holidays in Taiwan. We did have a significant reserve release of $52 million in the quarter, which drove our GAAP effective tax rate negative. This represents an expiration in the statute of limitations for uncertain tax reserves. We now expect our full year pro forma tax rate to be 16%, an increase from 13.1% in 2012 due to the geographic mix of income. Finally, as Cliff previously discussed, we have updated our 2013 pro forma EPS guidance to be $2.40 to $2.45. Our current revenue forecast does anticipate that Auto/Mobile will continue to be less than 50% of our total revenue in 2013. This concludes our formal remarks. Operator, please open the line for Q&A at this time.
Operator: [Operator Instructions] We'll take our first question from Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: First question about VIRB. Can you give us a sense kind of so far what are you seeing in terms of market adoption? And as you look at the trends today, do you have any targets in terms of market share in that segment for 2014? And then maybe looking out a few years from now?
Clifton A. Pemble: Yair, this is Cliff. Right now, it's still very early days in terms of our rollout of the product, and as we mentioned, we don't expect that it will have a significant impact on Q4. And I think for 2014, again, it's very early days in a new market, and so we're not speculating yet in terms of market share, but we do believe we have a superior product, and we've heard a lot of good reports from our retailers that suggest that customers are interested in what we have to offer.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Great. And just one more, in terms of the Auto/Mobile business, I noticed that the deferred revenue balances appear to be flat sequentially. I guess it's surprising given the fact that volumes seem to be decreasing. Can you give us a sense of what we should be anticipating in terms of the deferred revenue balance going towards the back -- the final quarter of the year?
Kevin S. Rauckman: Yes, thanks, Yair. You're exactly right. We had a nominal impact in Q3 on deferred revenues. And as we've stated in the past quarters, we're expecting that amortizations of our past deferrals are going to outweigh any of the incremental deferrals that we put on the balance sheet. So you should expect for the full year 2013 and then going forward that we'll continue to have a -- actually, a tailwind as we move forward in our business.
Operator: And we'll take our next question from Jonathan Ho with William Blair.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Just wanted to see if you could give us some additional color in terms of the Marine business and some of the strength that you're seeing there, and whether you expect sort of this trend to persist throughout the rest of the year?
Clifton A. Pemble: Yes, Jonathan. I think there's a couple of factors at play. As we've mentioned, our new products have been very well accepted by customers and the pricing environment has been favorable as well for customers as we clear out old inventory. So people are buying even later than what they traditionally do in the marine season. The weather situation for 2013 probably delayed the season somewhat. So we were seeing later buying than what we usually do, but we also see some of those trends continuing in the fourth quarter, as particularly, our OEM systems are doing very well, and boat builders are now ramping up production for 2014.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. And just in terms of the new Vector power meter systems, I mean, did you have sort of a backlog of orders in advance? Was there sort of a onetime lift from -- in the new product release? Just want to get a sense of how you're seeing maybe the linearity of demand for Vector and continuation to the current quarter?
Clifton A. Pemble: Yes, Jonathan. We did see an initial bump from what we call pipeline fill of that product, and there was pent-up demand. As you know, the product was widely known in advance of its release. But now that, that bubble has kind of gone through, we're seeing more of the static demand, if you will, which is certainly a lower level than what we experienced in the initial stages of the deliveries, but still what we would call strong for a product like this. It's a very niche product.
Operator: And we'll take our next question from Simona Jankowski with Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Just wanted to ask a couple more questions on the Fitness segment. I think you referenced some pricing dynamics there. So if you can just expand on what you're seeing in the pricing environment and what your expectations are as we get into next year. And then could you size the impact of the Vector for the quarter, and what you're assuming for the fourth quarter?
Clifton A. Pemble: Well, let me take the easy one first. We don't ever break down by product segment, so we aren't breaking down Vector, but we do believe that it has a second order effect with our overall biking products, which were strong in the quarter.
Kevin S. Rauckman: Fitness pricing?
Clifton A. Pemble: I think it's marine pricing, Simona, is that correct?
Simona Jankowski - Goldman Sachs Group Inc., Research Division: It was on Fitness.
Clifton A. Pemble: Okay, thank you. So Fitness pricing, in general in the past year, actually, a year ago in Q3, we introduced the Forerunner 10, and that has been a significant success for us in terms of market share and volume. But as you know, the ASP is lower so we have seen those pricing drift lower in the running segment, but it's very strong in terms of volumes. Our high end continues to be strong in the 910. And now with the introduction of our 620 and 220, we're clearing out product transition in the -- in some of the other product ranges, which will then boost the pricing going forward.
Operator: And we'll take our next question from Charlie Anderson with Dougherty & Company.
Charles L. Anderson - Dougherty & Company LLC, Research Division: You guys made a reference in the slides on Fitness to adjacent market opportunities, and I think there had been talk maybe earlier this year that, that would happen this year, and that looks like more next year. I wonder if you could just give us a little bit more color there.
Clifton A. Pemble: I think we've talked about that being more of a 2014 opportunity for us, and we're not at the point where we can offer any details in terms of what we have in mind there, but we continue to invest and look for new opportunities in -- across all of our segments in adjacent product categories.
Charles L. Anderson - Dougherty & Company LLC, Research Division: Great. And then, on Aviation, you mentioned the impact of government shutdown. I wonder if you could help quantify that for us. Obviously, Aviation continue to grow and outgrow the markets. What is it going to look like in Q4 for you guys?
Clifton A. Pemble: Yes, so far, it's pretty much been on a similar trajectory. We did experience some blip because of the shutdown. Basically, any kind of field approval that was occurring with the installation of avionics, aircraft registrations, certifications, all those things are basically shut down for the period that the government was in the shutdown mode. So we saw that as a blip, and the industry is quite sensitive. So we don't know, as we roll into Q4, what the impact of ongoing budget talks will be as we move towards the end of the year. So we're maintaining kind of a conservative outlook there.
Operator: And we'll take our next question from Mark Sue with RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC, Research Division: If I look at the Fitness division for next year and just trying to get a sense of how you developed product planning, and what will kind of -- in what will become an even more competitive market next year, perhaps, how you think about your discipline in R&D spending, which segments of the market you might double down into or push deeper into? And how you kind of plan for higher unit growth next year, but lower ASP trends? For example, should we be looking for a $99 Forerunner watches next year? Just some financial parameters so that you may be able to hold operating margins in this division.
Kevin S. Rauckman: Mark, thanks for the question. I think we feel like we have a very disciplined process in terms of analyzing what our expectations are for not only growth, but also what we need to do in terms of development of new products. So Cliff's already talked a little bit about some of the Fitness products, whether it's Vector or the Forerunner 220 and 620. Those have been planned for quite some time, and we've put a product roadmap together that makes an estimate what our businesses are going to be at every level within the segment. And so if we look out a year from now or even a couple of years from now, we have an estimate of what each of our product categories are going to do, whether it's running or cycling or some of the new products like Vector. So we believe we've got a pretty good handle on what the new products are going to do and how they're going to contribute to our bottom line. You can see from the margin results that it served us pretty well.
Mark Sue - RBC Capital Markets, LLC, Research Division: I see. So if I extrapolate your discipline on just the growth and also the profitability and the margin, are there any reasons why corporate earnings on a consolidated level would not increase next year?
Kevin S. Rauckman: You're asking for a formal guidance number, and we're really not ready to talk about 2014 yet. I think some of the trends that you've seen with the continuing secular decline on Auto/Mobile with growth across the other segments is what we would expect to see, but we're really not prepared to talk about 2014 EPS expectations at this point.
Mark Sue - RBC Capital Markets, LLC, Research Division: But it does seem very process-oriented in terms of the way you're running your product portfolio as opposed to, I guess, other vendors that are moving into this market of Fitness and wearable technology. But then it's really spaghetti on the wall, but I guess, a lot of it is very disciplined focus, I think, on your part.
Kevin S. Rauckman: Well, again, we know what our pricing points are going to be. We've got our plan to address the demand of our customers, and so we feel -- we still feel like we've got some good opportunity for growth, especially in these non-Auto/Mobile segments.
Operator: And we'll take our next question from Tavis McCourt with Raymond James.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: Kevin, first, a clarification on the free cash flow. Have you given us a guidance for that previously for full year, and kind of looks like about $600 million of free cash flow flat year-over-year next quarter. Is that kind of a reasonable guess at this point?
Kevin S. Rauckman: Well, we had given an estimate of about $525 million of free cash flow, and through the third quarter, we're sitting at $439 million. So we're well on plan for that. We feel good about our overall free cash flow generation for the year.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: Cool. And Cliff, I think 3 for you. First, on the Vector, I mean, I guess is it fair to ask in terms of -- is it actually working customer response? Obviously, this was in -- had been delayed for a number of years due to kind of quality issues and wanting to perfect that a little bit more. What has been your experience in terms of the customer response so far?
Clifton A. Pemble: So far the experience has been very positive, and it's been working as we expected. We believe the accuracy and the ease-of-use installation and portability of the product met all of the goals that we had in mind.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: And a PND question, your biggest competitor reported this morning, and I think they're talking similar kind of metrics for the industry, but definitely framing it as Garmin taking share in the U.S. and Garmin losing share in Europe. Would you be willing to comment on that as being kind of consistent with what you're seeing? And then also, if I adjust for the deferred revenues, it looks like ASPs in that segment, PNDs are kind of roughly flattish. Is that an appropriate conclusion to draw?
Clifton A. Pemble: ASPs were roughly flat, and in terms of share, yes, according to NPD, the share in the U.S. has definitely grown. I think, in Europe, our view is that we probably held steady. Some of the countries, the bigger countries, we gained some share based on product innovation, and then some of the other countries are a little harder to track. The tracking agencies over there have soft reporting on some countries because the market has gone down due to economic and other reasons so -- but in general, our view is that it's probably held steady in Europe.
Operator: And we'll take our next question from John Bright with Avondale Partners.
John F. Bright - Avondale Partners, LLC, Research Division: Cliff, first question. You seem to express some optimism on Auto OEM. What's driving that optimism? And along the same lines, what are you going to be able to do to combat the incumbency question that exists as you're competing to get into the auto market?
Clifton A. Pemble: Well, I think to add some color to my comments, I would say we were expressing some realism in terms of the fact that it's slow to develop. We still believe that we have unique value to offer in the industry through our solutions, and that's been borne out through J.D. Power kind of results and things that show the customers really appreciate the solutions that we have. But what you're highlighting in terms of incumbency is absolutely true and is a big headwind. Some of these suppliers have been embedded in the system for a long time, and we realize it takes some time to break in.
John F. Bright - Avondale Partners, LLC, Research Division: Second question, Kevin, it's for you. It does go to '14, and I recognize you're not giving guidance, but you've done a terrific job managing your OpEx and the realities of the puts and takes of revenue, the last quarter and this quarter, in particular. As you look forward to '14, do you have the leverage to pull to continue to manage, particularly your SG&A and your advertising expense?
Kevin S. Rauckman: I think we've chosen to make certain decisions on both of those areas. I think on the SG&A, we do believe that we have managed that pretty well in a period where we've got a strong headwind on PND. Going forward, we do not expect that we would need to increase SG&A significantly. On the advertising, I think we'll look at it more as a percent of sales and hold it pretty consistent. We've got -- we have some new product categories that we'll be introducing and have introduced, and so we look at that kind of the key metric is the whole advertising consistent as a percentage of sales as we go forward.
John F. Bright - Avondale Partners, LLC, Research Division: Let me squeeze one last one in for you, Kevin. I assume the potential headwinds from the FAA furloughs and Aviation that you talked about, that's built into your guidance expectations?
Kevin S. Rauckman: Yes, and we didn't really -- we haven't really changed our guidance for the full year on the top line. So we've definitely baked that in into our Q4 expectations.
Operator: And we'll take our next question from Paul Coster with JPMorgan.
Paul Coster - JP Morgan Chase & Co, Research Division: Kevin, if you could just give us some sense of anything unusual in terms of channel inventory going into the fourth quarter, and the unrelated question actually is in Fitness and in other segments, maybe Outdoor as well, it looks like software that's listed on your PC, on your tablet, is an increasingly important part of the value proposition to the consumers as they sort of try to analyze their activity. What percentage of your R&D investment is going into software now?
Kevin S. Rauckman: Well when we first of all talk about channel inventories, because of the decline in the overall market of PND, we've seen less seasonality in Q4. So really, what used to be somewhat of an issue on -- or at least a challenge in inventory management is less so. We don't really have any issues that we're aware of in the channel. We're -- it's pretty clean going into the fourth quarter with our retail customers. So no major issue there. In terms of the software, I don't think we've really ever quantified that. Software is a key part of our investment across Fitness, Outdoor, pretty much every segment, even Aviation. If you look at the number of people we have working on content and software, it's substantial within our business. So we really never quantified how much that is.
Paul Coster - JP Morgan Chase & Co, Research Division: And related to that, do you expect to bring out a sort of platform in relation to VIRB to allow people to basically process their video and then publish?
Clifton A. Pemble: Yes, Paul, we actually already have a utility available for our users that's called VIRB EDIT, which basically allows them to process the videos, edit them, and the unique value that we offer in the market is that a lot of the sensors that customers are using in streaming activities can be overlaid on top of the video so you can see speed, acceleration, heart rate, all these kinds of things. So that tool is already out there and available. And in terms of sharing, most people tend to share over common means like YouTube and others that are out there. So that's not something that we're doing, but we're at least providing the tools for people to be able to create the videos that they like.
Operator: And we'll take our next question from Andrew Spinola with Wells Fargo.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Kevin, you guys had pretty good Auto margins in Q3, and trying to think about 2014 in terms of the OEM spend, is there -- was there a greater spend in support of that business in 2013? And sort of all things similar in 2014, would you expect similar types of spending levels or has that been coming down or was that at all a help in Q3?
Kevin S. Rauckman: Well, I think we don't break down by category, other than Auto/Mobile, but clearly, with the declining PND business, we've spent less this year on our operating expenses, but -- and we have increased on the OEM -- Auto OEM side in order to innovate and bring about new opportunities and platforms in that area. Going into 2014, I think, again, we haven't settled on any numbers yet for 2014. We're evaluating our 2014 budget now. But I think, in general, we will continue to spend less on PND, and slightly up potentially in Auto OEM, as we pursue opportunity there around the world.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Great. And then Cliff, on the K2 system that you've been working on, is it simply incumbency that's the problem? Or have you found that there are any features or aspects to that, that are maybe falling short of what the OEMs are looking for?
Clifton A. Pemble: I don't really see features as being an issue. I think the vision for K2 is pretty encompassing that touches a lot of things in the vehicle. So the scale of the project involving K2 is probably pretty significant. So that's maybe one factor that OEMs might be considering in terms of what they -- what effort they have to go through to incorporate the system. But in addition, it's a very conservative industry, so they tend to choose suppliers with known track records, and building that track record is obviously a challenge.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Makes sense. And then just lastly, your operating income trajectory is obviously improving, and I'm wondering, are you still thinking about returning cash to shareholders primarily through the dividend? And when would you possibly look to raise that? What time of the year do you address that?
Kevin S. Rauckman: We look at the dividend decision. Our board discusses that in the first half of the year, and then we -- because we're a Swiss parent company, we actually have to have -- get Swiss shareholder approval in our Annual Meeting. So it will be in the first half of 2014, specifically in the second quarter because we already have approval to pay a dividend through Q1 of 2014, not only dividend, but I also want to emphasize stock buyback. Those are the 2 primary means in which we return our cash to shareholders.
Operator: And we'll take our final question from Ron Epstein with Bank of America Merrill Lynch.
Kristine T. Liwag - BofA Merrill Lynch, Research Division: This is Kristine Liwag, calling in for Ron. My question is in Aviation, can you give us an update of the expected ramp of the R&D spend on new aircraft development programs?
Kevin S. Rauckman: I think we commented this year on the reason why our increased R&D is there, primarily due to Aviation, and we have -- we're gaining share in the business jet space, and we're going to be -- have every anticipation to continue. So at this point, we would expect, not only our top line Aviation business to grow double digits, but we would also need to continue to ramp our R&D to be able to serve the customers in that industry.
Kristine T. Liwag - BofA Merrill Lynch, Research Division: Sure. And as a follow-up, for Aviation margins to get back into the 30s level, is it a function of shifting from development to production or the business jet cycle taking off, or taking cost out of the system? How should we think about this? And also, any information on timing would be helpful.
Clifton A. Pemble: Well, Kristine, as you know, these programs are very intense in R&D, and that continues to be, and will be in the future, our biggest portion of the spend within the segment. I think, historically, there were times we were around that level, but it was probably driven by different kinds of factors in terms of our product mix, and which are different today. So I think in order to serve these OEM opportunities, I don't believe that, that level is as easy to achieve as it was in the past. And the most important thing is to be able to win and execute on the programs.
Kerri Thurston: Thank you, and I think that concludes our earnings call today. So thank you very much for listening, participating. We look forward to closing out the year and updating everyone shortly thereafter. So thank you.
Operator: And this concludes today's conference. Thank you for your participation.